Operator: Good evening, and welcome to the LivePerson fourth quarter 2014 earnings conference call. My name is Tracey, and I will be facilitating the audio portion of today's interactive broadcast. [Operator Instructions] On the call today will be LivePerson's Founder and CEO, Rob LoCascio; and CFO, Dan Murphy. Thank you. Mr. Dan Murphy, you may begin your conference.
Daniel Murphy: Thanks very much. Before we begin, I'd like to remind listeners that during this conference call, comments that we make regarding LivePerson that are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change over time, and we undertake no obligation to inform you if they do. Results that we report today should not be considered as indication of future performance. Changes in economic, business, competitive, technological, regulatory, and other factors could cause LivePerson's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time-to-time by LivePerson with the Securities and Exchange Commission. Also, please note that on the call today, we will discuss some non-GAAP financial measures in talking about the company's financial performance. We report our GAAP results as well as provide a reconciliation of these non-GAAP measures to GAAP financial measures in our earnings release. You can obtain a copy of our earnings release by visiting the Investor Relations section of our website. Now, I would like to turn the call over to Rob LoCascio.
Robert LoCascio: Thanks, Dan. And thanks, everyone, for joining us. I am very excited to report that we have achieved our 50th consecutive quarter of growth. We delivered record revenue in 2014 with our growth rate accelerating to 18%, up from 13% in 2013. Adjusted EBITDA increased 21% year-over-year. 2014 was a great year, with strong growth in our core business, we hit some important milestones in the launching of our LiveEngage platform, and we did three successful acquisitions. And this really provides us with I think a really strong foundation going into 2015 and also to scale over the next several years. We have a very clear vision about what the future is going to look like and how our company is going to play into it, when it comes to customers communicating with their consumers. We're obviously out there, what I'd say, it's like bridging the gap between the consumer who is messaging and communicating on mobile in all these ways to their friends and family, the brands that are communicating primarily by voice, and what we really want to do is bring that together. And that's why we built the LiveEngage platform, to go ahead and do that, to bring messaging between consumer and brand, to do it at scale and to deliver that meaningful connection between those two audiences. We're clearly the leader in what we do today. We monitor over 8.3 billion visitors in Q4 alone and more than 25 billion in total of 2014. We did over 300 million web messages or chats, both on web and mobile in 2014 also. So at the heart of our strategy is obviously mobile, and we doubled those interactions in the last quarter. And if you look to the beginning of 2014, we did a 100,000 a month of interactions through mobile. At the end, in December, we did 1 million. And so the platform, which we put out in May of 2014, is really at the heart of driving our future. Today, we have about a little over thousand customers on the LiveEngage platform, and we tripled the number of enterprise and mid-market customers signed up to go on to LiveEngage. And we even in the quarter signed our first seven-figure deal on that platform. It was a really interesting thing, because competitively we brought together all the capabilities that are in the platform around data and analytics, including the things we do with predictive targeting, sentiment analysis and that won the day in the deal. And what's more important is that we really sat with that customer, who is a very large telco in the U.K., and we said, what's the future look like. And when you think about one of our enterprise customers, on average when they sign up, they're with us for 10 years. And so when this customer looks at, where am I going, it's not about the quarter or even a year, it's a commitment they are making to us; and the commitment we make to them is about plotting that communication strategy, how are you going to connect with you customers, and LiveEngage tells that out clearly. So we're very excited about it. And obviously, we continue to deliver that to the market. We spoke about one of the things we want to do, which was deliver LiveEngage as a way to scale the business, and one of those parts was deployment. If you remember a couple of years ago, we talked about deployment sort of like extending out. You'll see this with a lot of SaaS companies, who are suppose to be about ease-of-use and get up. But what happens overtime, as you get more enterprise customers, the product become more complex. They become harder to integrate. So we did is, we took all of our knowledge and we built the platform, we put that knowledge into the platform. What we're seeing now, based on these thousand or so customers is we are getting to market, so implementation times are 32% faster than were at the previous platform. So if you think of our future and how we can scale, and how we can get the revenue quicker, we can do that much more efficiently on the LiveEngage platform. So overall, this platform is about scaling with much larger customers, it's about getting to market quicker and it's really about changing the game overall in the market. We've always been a leader, we dominate and what we do and we're going to continue to that leadership. But three years ago, we set out to invest in something that I think would guarantee us growth over the next 10-plus years and we delivered that. So it's a game changer not only for us, but also for our customers. We are working, when you think about our customers, we've got two sets, right. We've got our existing base, and then we've got the greenfield, the new ones. I mean we have some of the best customers in the world in our base. And they're our asset. They are the ones that help us build our business. One of these customers is Royal Bank of Scotland, and they're one of the top 20 banks in the world. They've been with us for many years. But we recently did a major expansion with them in using the parts of LiveEngage to deliver a whole different way that they are engaging their consumers through the digital channels, and this is all about the journey of a consumer. They come to website, they're on a mobile device, they want to do something, they want to like pay a bill, and it's hard, and a lot of time that just generates a phone call. But with our platform, we can get them from A to B in a digital channel, which drive some cost, because the consumer doesn't pick up the phone and call, and it also creates a higher lifetime values. So when I look at a customer like Royal Bank of Scotland, I can see them being five times or 10 times bigger over the next few years just because of what we can do strategically with them. Now, I was also recently in a meeting with customer, who is one of the big banks here in the U.S. and we've had them for 11 years. And they were actually our first enterprise customer on a proactive chat. And I remember, sitting with the women who has been there 11 years, and I said, we built basically proactive chat together, as an industry, and today we're at a different place though. We have the ability now to build something different. Consumers have changed, they are not just on the web, they're on mobile devices, they are obviously on social, but more importantly, they are still making phone calls. So we sat and we talked about what's the future over the next 10-years, where you as a bank can use service as a strategic weapon. How do you lead with service, say, we're not like every other bank, beyond the caller, beyond hold and all that, you can connect with us instantly. We care value. We want a meaningful connection. So those are the things we're doing with the existing base, and obviously we're bringing that same vision to the new customers. When we think about that vision, it's just not about United States or parts of Europe, we're a global company now, about 35% of our revenues are outside the U.S. We have a strong presence in different markets outside the U.S. And when you look at one of our newest markets, Japan, we closed one of the largest telco's in the quarter. That's followed up from a close with one of the biggest banks, the quarter before, one of the top 20 banks. And when you think about why they chose us, one is our vision for the platform, but also because of our presence there, our established base of customers around the world. And so we're very excited about that region, because in Japan, because obviously it's the third largest economy, but more importantly, if we get to start with a large fi-serv, a large telco, it usually sets the foundation for growth. And so Asia as a whole is very excited, but the team in that region is doing a great job. Obviously, we have Australia, we're looking at other areas, but they're doing a fantastic job. As we mentioned on the last call, we acquired a company called Contact At Once!, and we're very excited about this acquisition. They share a very similar vision and platform that we do. In fact, they are leading us in certain ways like mobile. They've done some very interesting things in mobile over the past three or four years that we're about to deliver. And so there is really a good synergy there. Obviously, they're focused on the vertical of automotives and they're focused on the vertical of real estate, and they've got those verticals really securing, they're leader in there. On the mobile side, and that's where we're putting a lot of our focus and attention on the R&D in the product side, they also are doing great. They saw their mobile messaging grow by 44% in Q4, and that's up from 21% a year ago. So their performance is, they are driving a lot of interactions there. They did a great job in the quarter. They met and exceeded their targets. So I think it's a really great acquisition for us. They've had some nice international expansions. We just put out the press release that they signed a big automotive group in the U.K. called, Arnold Clark, and they just signed one of the large manufactures of cars in the Canadian division. So they continue to expand outside of the region. There is a lot of opportunity here, not only within the United States, but outside the U.S., not only within automotives, but we're just starting that vertical of housing, so rentals and home sales. So we're just starting with that. So obviously, I think the important part here too is, we got sort of the wind at our back, because of the macro environment of auto and homes. There is obviously a lot of things going on there, so it's a good acquisition. Remember, this acquisition is both accretive on the bottom and topline, and I still think there is a lot of value that we're going to unlock from it. And they have a great culture and we're really excited about Contact At Once! and their team being a part of the overall business. We ended 2014 I think very strong. The overall growth and the delivery of our LiveEngage platform really was the center of that. In 2015, we are very excited about what we need to do and how we can deliver on the vision. We had our field organization got together a couple of weeks ago. Over 300 people we had at this meeting. There is a lot of excitement around the things like what we're with doing RBS and the LiveEngage platform and its here now, their is successes, there is a confidence within. And there is a confidence also in the leader that we have now, Dustin Dean, who we announced a few weeks ago, a quarter ago. Dustin has been with us for 10 years, he knows the business. He knows the people in the business. And he is a great leader, I think, for this group. If I could wind back two years ago, I probably should have put him into the role. I think he understands the business. And we're not like any other company. We don't sell commodity software. We need someone who understands innovation, who knows how to sell innovation and get value out of it. We don't go in and we're not the cheapest guys. So we need leaders who understand that, and not just trying to book the quarters, but are trying to build big strategic deals with our customers. The average tenure in that team is about five years. So there is a lot of relationships that he's had with this team and we're excited with him, and he's got a great leadership team under him to move forward. So we've got a clear vision, we got our platform, we've got the strong group of leaders, and I'm very excited about what we did in 2014, but I'm even more excited about our future. And with that, I'd like to turn the call over to Dan to talk a little bit about the financial progress we've made between 2014 and what's coming up in 2015. Dan?
Daniel Murphy: Thanks, Rob. We will start with a review of the operational and financial highlights of 2014 and finish with our guidance for the first quarter of 2015 and the full year of 2015. We entered 2014 with a set of strategic goals, and although we continue to focus on the future, it is worth taking a moment to review the many accomplishments achieved by LivePerson in the past year. We accelerated revenue growth to 18% in 2014 from 13% in 2013, and exceeded our initial guidance of $199 million to $204 million by delivering $210 million in revenue. Sales from our enterprise and mid-market segment continue to show strong growth, rising on an annual basis by 21% over 2013. We completed three acquisitions, NexGraph, which added team of data science experts to enhance our leadership in intelligent digital engagement; Synchronite, which added co-browsing technology to our platform; and Contact at Once!, a unique messaging platform with leading market share in the automotive industry. We rapidly advanced our mobile strategy, accelerated mobile interactions to nearly 1 million a month by yearend 2014, which is up from about a 100,000 a month, at the beginning of 2014. We launched the LiveEngage platform to our customer base and added more than 1,000 brands. In addition, we moved several mid-market accounts to the platform, which was ahead of schedule. We executed on our international expansion strategy, opening offices in Germany, strengthening our presence in Japan and building regional data center in Australia. International sales now account for 34% of revenue, up from 24% just three years ago. We maintained strong connections with our customers, fueling a 91% customer renewal rate in 2014. We focused on returning capital to our shareholders, we purchased 1.2 million shares of stock for approximately $13 million in 2014. This is in addition to the 2.4 million shares we repurchased in 2013. In all, LivePerson retired approximately 6% of its shares outstanding over last two years. 2014 has been an amazing year and we're proud of our accomplishments. I'd like to take a moment and thank our employees for all the hard work and effort over the past year. Turning our attention to the fourth quarter of 2014, revenue exceeded the high-end of our guidance range, despite of 1.3% drag from foreign exchange. Adjusted EBITDA and adjusted net income were within our guided ranges. GAAP net income came in just under our guidance. Total revenue of $58.2 million in the fourth quarter increased 24% versus the same period last year. B2B revenue, including Contact at Once! for the sub period was $54 million and revenue from our consumer segment was $4.2 million. The following metrics exclude the impact of Contact at Once! Revenue from our enterprise and mid-market segment continue to deliver strong growth, climbing 20% over the fourth quarter of 2013. Bookings were $11 million in the fourth quarter of 2014, a record for the company and capping a year where our total bookings increased 19%. Approximately 64% of bookings in the fourth quarter came from existing customers and 36% of bookings came from new customers. Our average deal size was 68,000, consistent with the third quarter of 2014 and up 28% versus prior year. We include in our bookings metric, new or incremental contractual commitments for the first year of the contractual relationship from either new or existing customers for recurring subscription-based fees. And we exclude from such amounts non-recurring fees such as one-time implementation costs or one-time consulting fees. The bookings metric generally does not include or represent usage-based and/or pay-for-performance based contracts, month-to-month contracts, transaction-based services or subsequent years of multi-year contractual arrangements. While we are on the subject of bookings, I want to inform the investment community that we will no longer be providing a booking metric. As our business continues to evolve, we know that the booking is becoming a less meaningful metric. We feel this is the right time to discontinue the metric, especially in light of the recent acquisition of Contact At Once! and changing of our business model through per interaction pricing. We will still provide detailed financial quarterly and annual forecast, and we're also examining more meaningful metrics that will help illustrate our progress and performance with LiveEngage. As in the past few quarters, during fourth quarter, we continue to expand relationships with new and existing customers. In the fourth quarter of 2014, we had 52 customers spending more than $500,000 on an annualized basis, which is up from $48,000 in the fourth quarter of 2013. In addition, we have 31 customers spending more than $1 million annually, up from $26 million in fourth quarter of 2013. The average deal size for new customers was $95,000 more than double a year-ago period and the average for existing customers signing up for an upsell for expanding business was $59,000. Revenue-based attrition for enterprise and mid-market accounts averaged 2% per month in the fourth quarter of 2014. For the full year 2014, revenue-based attrition narrowed to 1.3% from 1.7% in 2013. The largest driver of revenue-based attrition is not customer losses, but customers' rightsizing their contract based on our customers estimates of visitor traffic, their product launches and their specific marketing campaigns. Our customer renewal rate for our enterprise and mid-market segment was very healthy at 91% in 2014. Small business monthly attrition rates continue to decline, reaching a new low of 0.7% in the fourth quarter of 2014 compared to 2.6% in the fourth quarter of 2013. The revenue breakdown by industry vertical was, telecommunications made up approximately 28%, financial services 26%, retail 16%, technology 18% and other 12%. Revenue coming from outside the United States was approximately 34% of total revenue. Fourth quarter gross margin came in at 75.1%, which is up sequentially from 74.8% in the third quarter of 2014. Our fourth quarter adjusted EBITDA per share of $0.09 and adjusted net income per share of $0.02 were within our guided range. The GAAP net loss of $0.08 per share was just under our guidance, largely due to an income tax expense of $0.03 per share, which was slightly higher than our expectation. GAAP net loss also included $0.02 of acquisition expenses as previously guided. The company's cash balance was $49 million as of December 31, 2014 compared to $87 million as of September 30, 2014. The difference primarily reflects in the cash payment for the Contact At Once! acquisition. As Rob discussed earlier, we are pleased with the performance of Contact At Once! Our 2015 guidance for Contact At Once! is unchanged. We expect the company to increase revenue by approximately 30% to $31 million in 2015. We also forecast that Contact At Once! will generate adjusted EBITDA margins above the corporate average and be accretive to earnings in its first full year. The following is our financial expectations for LivePerson inclusive of Contact At Once! For the first quarter of 2015, we expect revenue of $60 million to $61 million, which includes a negative foreign currency impact of nearly $1 million, adjusted EBITDA of $0.08 to $0.11 per share, adjusted net income of $0.03 to $0.06 per share and a GAAP net loss per share of $0.06 to $0.03, with a fully diluted share count of approximately 56.9 million shares. Current expectations for the full year 2015, our revenue of $263 million to $269 million, which includes a negative foreign currency impact of nearly $4 million, adjusted EBITDA per share of $0.46 to $0.51, adjusted net income per share of $0.27 to $0.32 and a GAAP net loss per share of $0.12 to $0.07 with a fully diluted share count of approximately 57.5 million. Furthermore, as a percent of revenue for the year, including Contact At Once!, we anticipate sales and marketing to be approximately 40%, G&A to be 19% and R&D to be 17%. Overall, 2015 will continue our trajectory of accelerating growth with our revenue forecast to increase 27% to 30% in constant currency. Excluding an expected 2% currency headwind and contributions from Contact At Once!, we are projecting mid-to-high teens organic growth with another strong year of 20%-plus growth in our enterprise and mid-market segment. We are also targeting a 20% growth in adjusted EBITDA per share. In addition, please refer to LivePerson's earning release issued earlier today for details on other full year 2015 assumptions. We entered 2014 with a set of goals and we delivered strong success across our topline and against our strategic plan. 2015 is shaping up to be an equally aggressive year. We have already signed our first seven-figure enterprise contract for the LiveEngage platform. We will continue to invest in the LiveEngage platform to accelerate the process of upgrading enterprise and mid-market customers. We are continuing our investments in mobile over the LiveEngage platform with an expectation to drive deeper adoption of mobile within our user base. We are also investing more in real-time analytics and voice-of-the customer, which are areas that further differentiate our platform and are generating overwhelmingly positive feedback from our customers. Finally, we are continuing our international expansion, where we expect strong results in continental Europe and Asia. LivePerson is at an exciting point since evolution, in the midst of rolling out its next generation platform, which positions us not only to better penetrate the existing market, but also attack the broader funnel of the 800 calls made each year. With that, I will open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Rich Baldry with ROTH Capital Partners.
Rich Baldry: Could you maybe talk a little bit about the $0.03 tax drag, where that came in from and how we should think about taxes in 2015? I think without the numbers, it would have looked significantly better. So sort of curious how that plays for 2015?
Daniel Murphy: So we have an issue with our business. While we generated overall loss, we do have income in certain jurisdictions, where we do have to pay taxes, but the overall loss in jurisdictions where it doesn't benefit us. So we actually provided a little bit more income in those regions than we originally anticipate and expected with our setup in the Netherlands, international, or outside of the U.S. So that's what has an impact on the taxes for 2014 in the fourth quarter. As far as looking forward, we guided that we would have a negative 30% tax rate, so we will be generating a loss in 2015, but we'll have an impact on taxes. And again, that's driven by having income in jurisdictions where we do pay taxes.
Rich Baldry: And on the R&D cost side, it was actually down sequentially, even when you put two companies together. So was it lot of that because of foreign currency benefit? Are there any other one-time issues in there? And again how should we think about on that on our run rate?
Daniel Murphy: Some of it is related to foreign currency benefit, and part of it was related to the acquisition. As far as the acquisition is concerned, Contact At Once! has a descent size sales organization and comparatively as a percentage of revenue a smaller R&D portion. So that also had an impact on bringing that overall number down.
Rich Baldry: And maybe last thing for me would be, could you talk a bit, now that you have the sales organization all brought together, whether there was -- you've seen sort of cross-pollination capabilities between the acquisitions? Which direction those would be mostly taking either them working with your guys one [indiscernible] or being able to use your customer base for their own benefit?
Robert LoCascio: Yes. Well, actually that the teams were together at that offsite. So you'll definitely see some synergies between us. There's really two levels of it. One is on the housing side we've got some very large housing contractors, home builders on our side. So we're working together on actually deals where they're also listed in search engines and things like that where Contact At Once! is. We also have international footprint, so there is really an opportunity to utilize that. So the team has been out to all different areas around the world to look at the opportunities. And so that's really where the leverage points are today. Technically, we're still remaining separate platforms. And we're just continuing on sales execution and then we'll look at tying platforms together over time, but today it's really on the sales co-selling is really where the focus is.
Operator: Your next question comes from the line of Michael Nemeroff from Credit Suisse.
Kyle Chen: This is Kyle Chen in for Michael Nemeroff. I guess, Rob or Dan, based on the strength of your pipeline from where you sit today, can you comment qualitatively on how much visibility you have into your guidance, the level of conservatism that could be baked in maybe due to some of these sales organization changes? And is the achievement of the guidance depending on anything sort with any significant factors and milestones?
Daniel Murphy: So from a guidance perspective, we guided to where we are comfortable with, based on the information that we have. We obviously don't give pipeline or bookings guidance, but from the guidance we pulled together, we're comfortable in the direction that we're going and rolling out LiveEngage and further adoption of mobile. So right now, all systems go, they're going in the right direction.
Kyle Chen: And quickly on the small uptick in the enterprise and mid-market attrition, you mentioned that it had to do with the right sizing of contracts from existing customers. Does that imply a reduction and utilization? How should we think about that as we move into 2015?
Daniel Murphy: So what's important to note, there will be mix between the quarters, depending on how many customers come up for renewal. But overall, our attrition rate dropped from 1.7% down to 1.3%. But on the right sizing of contracts, the point that I was trying to make there is, we've actually have a healthy customer renewal rate, but the revenue attrition rate, we try enough to make the best we possibly can in conjunction with our customers based on the number of seats or the number of interaction that they would need. And sometimes the traffic doesn't materialize, sometimes the product launch doesn't materialize or maybe the marketing campaign that they expected wasn't as effective. So we might have bought some inventory ahead of one of those launches or one of those factors happening. And what typically happens is we'll try and right size the contract and we'll obviously work with them to make sure that they're being as efficient and effective as possible with our software.
Operator: Your next question comes from the line of Shyam Patil with Wedbush Securities.
Andy Cheng: This is Andy Cheng for Shyam Patil. Just on Contact At Once! can you just talk about some of the early synergies you are seeing with the acquisition?
Robert LoCascio: As I mentioned before, the synergies we're seeing is really like two or three levels. One is, obviously we're co-selling with them in certain vehicles, like right now we're opening up the home building area. We've got to pick eight out of the top 10 home builders between us and so we've got these home builders where they're already using LivePerson product on their website, and then obviously Contact At Once! their platform is used where the home builder will be advertising inventory on the homes. So we really are joint selling on providing those services connected between those two. We're also opening up other regions like we've done, I think in Canada. Now, that we're looking at the U.K. Obviously Australia, Germany, there is other regions where there is automobile selling and home selling as similar to here that we have offices that they can leverage. And then the third part is really some technology, its not about putting the platforms together as much as there is some real knowledge sharing going on, especially on the mobile side of how to deliver a greater mobile experience and they've done some very interesting things on that side. We are doing some interesting things. So we're definitely doing a lot of sharing there. The [indiscernible] as we rollout our R&D center with technical leads and we're definitely making progress. And then culturally, it's a very great acquisition, it's a very similar and will bring some new things that we do with our culture that's a little bit more of a format for delivering new full connection between employees to them and they are I think enjoying the benefit of that. So far it's a good acquisition, a very, very good acquisition.
Andy Cheng: And also can you just talk a little bit about small business segment and how changes you've made there, are they impacting the business? And also how should we think about the segment in 2015, as well as your 2015 guidance, I guess, assuming some improvement in the growth rate there?
Robert LoCascio: Yes, I mean, we're looking to obviously improve the growth rate. I think there is some innovative things that we're going to do there. They are going to be sort of first out of the gate in some new capabilities especially on the mobile side. So we are very excited about, I think, about how that segment can attack the vision, and so we expect some, obviously pickup in growth. The goal there is to do that, but they're also well-aligned to how do we get to the strategy of delivering the connection between consumer and brand on a platform. And we want to give them some flexibility, because we can. Because with their revenue size they can play around a little bit more and experiment a little bit more. But obviously the person who runs that group and that group is looking at growth, we're all focused on it and we have good leadership there. So we are also very bullish about what that can be.
Andy Cheng: And just lastly, philosophically, how do you think about margins at this point? And should we expect to see margin expansion or is it still the primary focus to continue to reinvest bringing back the current growth?
Daniel Murphy: From a margin perspective, we talked about some of the investments we're making from mobile. We think there is a real opportunity there and then further investments, with the LiveEngage platform coming out we have some investment in order to start moving or upgrading mid-market/enterprise customer. So we have that investment in our business as well. So margins are holding relatively steady to slightly improving in 2015 based on the guidance that I gave, but we're still driving the business and driving with option of LiveEngage platform and continuing to push on revenue growth where we talked about 27% to 30% in constant currency.
Operator: Your next question comes from the line of Brian Schwartz with Oppenheimer.
Brian Schwartz: Robert, Dan, wanted to see if you could dig in a little bit into just the bookings trend. I know we're no longer going to get this metric. But if I look at second half of the year, the growth was 7% year-over-year, down from 30% plus in the first half of the year. And some of that is much tougher comps that you're facing in this second half of the year. But I am just curious if you can walk through some of the dynamics, obviously given larger customers and bigger deals that you are now doing, there should certainly understand to be some lumpiness quarter-to-quarter, but is there anything else that you saw that maybe cause that type of deceleration in the growth in the back half?
Daniel Murphy: I think you're kind of hitting out of line. We are looking for those bigger deals. We have increased our average deal size quite of a bit over the last year. We've got our sales guys looking for those bigger opportunities and working with our customers, and that will cause some lumpiness from a booking's perspective. Despite what you're talking about from a 7% second half increase, we still hit our revenue numbers and we're still excited about the growth and opportunity that we have in 2015. And part of that's going to be driven by usage and other areas of our business that maybe don't have bookings associated with them, inclusive of Contact At Once!
Brian Schwartz: And then, Rob, just wanted to ask you here kind of a strategy question. I was wondering if you could talk about any go-to-market changes that maybe hope Dustin will make here in 2015 to continue to optimize the sales productivity for the business?
Robert LoCascio: I mean, Dustin knows the business. I think we're looking at the simplicity, how do we simplify the things that we're doing and selling. There is a lot of good stuff that's happening there. I can only give so much about what we're doing just from a competitive perspective, I think there is some unique things from a marketing perspective and from sales and from product that we're going to bring together this year. For me, from my perspective, we've been waiting three years to get here. And a lot of the work we've been doing is just internal. It's like our culture and our platform and it's a lot about us and our customers internal. Now, it's external. We have our platform, we've got the things we need and we want to externalize this. So you should expect a lot more on the public facing side and marketing, on the sales execution. And I'm excited. I've worked with Dustin for 10 years, and I've worked a lot of leadership team and they just get how we sell. I think one of the lessons learned for me is really about we do sell uniquely. We don't sell commodity product, we don't copy other people and deliver cheaper. And if you have had the sales that are used to that, it's a different sale. And Dustin understands, we sell our products from multi-million dollars a year, because we understand how to extract value and he was a quota-carrying rep. So he enclosed some of the biggest deals. And then he went out and built Asia and he filtered up a big deal. So he knows how to get the value from our products, and I think we're just going to continue that. But the cool thing is the LiveEngage platform. I think everyone is very excited, because there's no doubt, it's out. There is no doubt, it really works, and there's no doubt even big customers can find better value than even our old platform, which is still the leading platform. So we're replacing the leading platform with the next leading platform, which is good place to be. And we even had a deal in the quarter where we started off six months ago selling the old platform and we brought the new platform into closing. And they were like just so excited about some of the things that we're bringing in it, they're like, we want to close on that. And so this is that enterprise deal I spoke about out of the U.K. So it's been a really good position and I think it gives the team something to execute on with the platform. So like I said, I think that we feel very good about work he is doing.
Brian Schwartz: You mentioned competition in your commentary. And I just want to ask you if you're noticing any changes here in the competitive landscape, now that you are selling a platform. I'm kind of curious if you're running into more the suite vendors than you did in the past.
Robert LoCascio: No. I mean, we're dominating in our field. And I know like, and the next competitor to us, I mean that's a pure play, not part of, let's say, Oracle, is we book more in two quarters than they do as entire company. And so we are really executing on that level. I think the strategy that we have in place is to go beyond the level, especially in mobile is exciting. So we've invented this area and we continue to dominating it. So I don't know what the suite vendors are, there is [ph] Delve out there, obviously the Salesforce, and there is Oracle, but they're really focused on more backend some marketing technologies. We're all about the connection and communication between consumer and brand, and so we continue to get out there. And once again, if I can let you guys on the inside of like LiveEngage as a platform and be in these meetings with our customers and we listen to what they say and what they're seeing, we're looking to replace the leading platform with the leading platform. It's a great feeling. We're not replacing our competitors, we're replacing ourselves. And they're excited about what we're replacing it with. So that for me is a good place to be in competitively, because we are our biggest competitor, I guess.
Brian Schwartz: Last question for me and then I'll hop into the queue. Dan, I was hoping that you could share with us what the CapEx was in Q4? And then the follow-up question on CapEx here is it looks to me like it's going to take a step-up here in 2015, it looks to be about 6% of revenue based on the midpoint of your guidance. And 2014, I think is running about 4 % of revenue. So I'm wondering if you can just help flush that out. Is there higher amount of maybe capital software from development that you're doing in '15 or offices expansion that's occurring next year? And what should we expect on a go-forward basis in terms of percent of revenues and CapEx?
Daniel Murphy: Yes, that's right. From a CapEx perspective, I didn't call it out in my script, but in the press release we said it will be about $14 million. So it is a step up from 2014. In the fourth quarter, there were some investments in our data centers primarily around equipment. We also launched, as I alluded to, data centers in Australia, so that's part of the capital expenditures that we had in the fourth quarter of 2014. As we move into '15, again with the amount of data that we're collecting and the amount of information that we have for our customers, we need to expand our data centers and continue to have cutting-edge and fast response and up-time. So we've continued investment on our data centers and our infrastructure to support our customers.
Brian Schwartz: Dan, do you have what you spent time in Q4, I didn't see that in the press release just on the dollar basis for CapEx?
Daniel Murphy: I think it was $3.9 million, Brian. I don't have it directly in front me, I apologize, but I could try and confirm that number. It was $3.9 million.
Operator: Your next question comes from the line of Mark Schappel from The Benchmark Company.
Mark Schappel: Dan, starting with you, I was wondering if could just repeat the revenue expectations for a Contact At Once! for next year for 2015?
Daniel Murphy: So we said it would be about $31 million in 2015.
Mark Schappel: $31 million?
Daniel Murphy: Yes.
Mark Schappel: And then, Robert, I know its still little bit early days, but could you talk a little bit about how your relatively new usage days pricing models is working out so far?
Robert LoCascio: It's working out quite well. I don't know what the percentage terms are, our customer contracts are converted is quite high now.
Daniel Murphy: Just about the 50% of our customers.
Robert LoCascio: A little over 50% of our customers are on it. It aligns to what they're looking for, which it really ties the value of the interaction to what we provide to them on the cost basis, so far so good. Obviously, we're shifting that model. I think it's going to shift the industry, which will force competitors to have to do the things we had to do, and it gives us a lot more flexibility of the platform, because it's not just about messaging and chats. There's a lot more interaction that are happening like a content, obviously things with our data, which allows to price around usage versus just interaction of chat. So as we shifted our focus and expand the platform, it's just aligns with the value we can provide.
Daniel Murphy: So Mark, just to clarify, it's 50% of customers, but it's about 65% of revenue. So we have small business customers that haven't all quite moved over yet, but we've been focusing on mid-market enterprise to get them over to our actual base pricing.
Mark Schappel: So 65% of your revenue is currently on the usage base, is that correct?
Daniel Murphy: Yes. That's correct.
Mark Schappel: And then, one final question. Robert, I've been in the last call, you had mentioned that the competitive plans to build some of the capabilities of Contact At Once! into the LiveEngage platform. And I was just wondering if you could just go into little bit more detail and what maybe some of the capabilities would be that you plan to adopt.
Robert LoCascio: Yes. I think right now, we're not focused on -- we've got a full list of things that we need to build for the stuff that we need to do. So there is nothing eminent that we're building, but the future is really the network effect. They did build a different set of algorithms to handle a communication coming off like an admin. So like there an auto trader and you can do a chat right from the auto trader website and it goes into routes to the a dealership, and that dealership to be in 10 different auto trader type sites and also on the manufacturer's website, who can handle that for a single interface and also report on it. So that's the capabilities we'd have to bring into the platform with the network effect, which we'll do over time. Today, for this year, we're just all focused on -- we got a lot of features to deliver especially for our enterprise customers. They've got a lot of stuffing on deliverance, so somewhere in the future we'll look at bringing together. I think the points that we're really focused on now is on the mobile side. There is some stuff they did on the mobile side that we were looking to do. So we're borrowing that, borrowing some of those platform capabilities. They've got some messaging capabilities that we didn't have, and so we can leverage that. And so the mobile is a place that we're really focused on some joint development right now.
Operator: Your next question comes from the line of Mike Latimore from Northland Securities.
Mike Latimore: On the small business attrition that came down a fair amount, any explanation for that?
Daniel Murphy: It's been the focused over the last couple of quarters, and as we just talked about, we've put new leadership in the group and they've been focusing on retaining those customers. It's also where we've been rolling out LiveEngage, that's why we've started in the small business sector. So I can't point anything specific other than it's been a focus. So I think that's the main point.
Mike Latimore: Can you talk about the implementation times coming down with LiveEngage? What about the sales cycles, has that changed much as we sell LiveEngage to those new customers?
Robert LoCascio: Yes, the sales cycle obviously in mid-market enterprise is fairly similar to small business, because you can get it instantly on the web and put your credit card in it, it's instant now. And we have trial like a try-to-buy, so there is a little bit of different process there. I would expect in the future, we would see some decrease in sales cycles, but today I don't have any data, so for that accepting those small business.
Mike Latimore: And you might have said it, but did you give pay-for-performance of the percent of revenues?
Daniel Murphy: I didn't give that statistics. It's about 9%.
Mike Latimore: And then I think there is a feature too that you're looking to rollout in LiveEngage for our current customers, I mean like a large call centers as well. Do you know the timing on that?
Robert LoCascio: Yes. They are coming out as we speak. So we're on target. For the first half it's a little bit of the final feature set, there'll never be a final feature set, but the feature set that we know there is two or three things to get us to the enterprise, and so that's coming out this first half. So we're on target for that right now. Somewhat interesting things, we accelerated some of the data side, the platform is looking very flexible platform compared to, once again, the old platform, there's nothing bad with it, it's a leading platform, but it's built on different technology. But we actually accelerate the development of some data features that's around intelligence in the platform that we go out the door in the quarter. So I think, once again, the feature of that platform is about speed and really responding to what our customers want and delivering on a much quicker basis than we did in the past.
Operator: Your next question comes from the line of Jeff Van Rhee from Craig-Hallum.
Jeff Van Rhee: Several questions. If you would on the seven-figure deal that you mentioned, the first on LiveEngage, what is it with that first engagement that you're doing with the new platform that you couldn't have executed on before with the old product? Give us a little sense of what it's bringing to the table?
Daniel Murphy: The thing that won the deal there was, and we're on a competitive match up there, was we really basically delivered some analytics capabilities around voice of the customer in the platform that are pretty interesting, and all in real-time and in the platform. And so they're very unique and they allow in real-time to get a sense of like negative conversations, positive conversations as a whole sort of dashboard for it. And they really thought it would be great, because it's all about real-time. The agent is interacting, what's going on and we can flag positive or negative conversations. We have that in the old platform, which isn't as real-time, but we've built it straight into LiveEngage, and we actually delivered it early. That's how it turned out. So we're able to deliver that and win the deal.
Jeff Van Rhee: And then with the migration to the new platform, as you're moving through the mid-market and you've got a lot of them now live, would you talk about just any of the detailed metrics, obviously get a real-time dashboard of watching your users and their adoption of the incremental services, that's why you moved in new pricing model. Can you talk about what you've learned so far? And just how that adoption of incremental features is playing out versus expectations?
Daniel Murphy: Jeff, just to clarify, we have several mid-market customers on that we put on 2014, but our work is ahead of us in 2015 to start marketing those customers over. But as far as usage is concerned from the 1,000-plus customers that we are having today, we are seeing an uptick in usage across the platform. So it's not just around chat, it's also around the mobile impact that Rob was talking about. In the beginning of 2014, we were doing about 1,000 interactions on mobile and now we're doing it on a monthly basis. Now we're doing about 1 million. The adoption of content, the amount of impressions that we're serving through our content has increased significantly, the click-through and the value that we're generating as well. And then the last piece is just a consumption of data, which is what I talked about a little bit earlier about us making further investments in our data centers to handle the capacity of the data that we're actually collecting for our customers.
Jeff Van Rhee: And then just on the metrics front, I didn't catch the total deal and new deal count. And then can you just give us some thoughts on the forward year in terms of how we should think about pay-for-performance and consumer?
Daniel Murphy: So from a pay-for-performance basis, it's been sort of percentage of revenue that's growing in conjunction with the overall business. We've done some things differently in the group and we still think it has a strong place in our revenue stack, and we're continuing to push it to our customers. As a matter of fact, we actually just did a very nice deal with a company, where it is tied to value generation and it's based on the gross margin that we generate, which is a unique type of PFP deal for us, so excited about that piece of it. As far as new deals, its 161 total deals and about 42 of those are with brand new mid-market and enterprise-level customers.
Jeff Van Rhee: And your thoughts on consumer?
Daniel Murphy: Consumer, it's a business that generates a decent amount of cash flows. It's a slow grower. We have a team focused on the consumer business and we're doing some interesting things. Working within the constraints that we provided for them, and it's still an asset and still part of LivePerson, and it generates a good amount of cash.
Jeff Van Rhee: I guess last one for me. The metrics going forward with the bookings number going away, can you give us at least initial thoughts on what may replace it to give us a sense of current conditions and maybe similar, but somewhat different along the pipeline? Any expanded commentary you could give us about the breadth and depths of the pipeline at this point changes? LiveEngage is out there and just a sense of sort of how that pipe maybe changing in a little more detail?
Daniel Murphy: So our expectation is to continue to grow the revenue stock with the 27% to 30% growth that we talked about in constant currency. We don't comment on the size of the pipeline, but we've got a very strong sales force that's good tenure, good investing in place, again, a step in the right direction. So we're excited, as we look into 2015. We are only selling the LiveEngage platform to brand new customers to greenfield customers in 2015. And as Rob talked about a little bit earlier, our focus is to start upgrading our mid-market enterprise customers from legacy to the LiveEngage platform. So those are the focuses in 2015.
Jeff Van Rhee: And any thoughts on metric to replace bookings?
Daniel Murphy: I'm not ready to share them yet. We're closing up 2014. We still got work ahead of us in 2015. So we'll share some more of those metrics on the first quarter call.
Operator: Your next question comes from the line of Jon Hickman from Ladenburg Thalmann.
Jon Hickman: Could you just walk through a little bit what it takes to move some of mid-market customer from the old platform to the new LiveEngage time, expense, that kind of thing?
Robert LoCascio: Basically, there is a tag that they could change out, if they want to get the enhanced data package. They basically just have to swap up some JavaScript code. The data is already migrated, everything is there. So the rules will migrate. We have a different structure on how we do the intelligence right now, but all of that's migrated. So we have a script in that group of people that are focused on that. So it's pretty seamless. It's really up to their timeframes, where they are. But we are using it really as a selling event, it allows us to tell the division. And that's the most important part of it. Technology is like moving them over, it's about setting a future with them that can allow us to grow and get to that vision. As I mentioned our average enterprise customer can be with us for 10 years, same with mid-market and close to that. For small business, it's four years, five years. So when people are with us, they are with us for a long time, and so we want to start mapping, this is day one with them. And then how do we move forward, so that's the most important part of the sales cycle versus if they want to swap out codes, they can have it tomorrow, and that we did for small business. Some of them go live in an hour. So that's how we view it as.
Jon Hickman: And then, is it correct to say that your new Head of Sales is Dustin Dean, is that his name, right?
Robert LoCascio: Yes.
Jon Hickman: So he is actually primarily responsible for your success in kind of the Asian marketplace, right?
Robert LoCascio: Yes. He built that out. He went over there a couple of years ago, when we had zero, and he built it out, we did an acquisition of a company called ENGAGE that he was working with, and then he opened up Japan. And before that he was a quota-carrying rep here. He worked in partnerships. He was actually in the consumer division for a while with me, and then he went on to Asia. So he's sort of been in and out of our couple of different areas.
Jon Hickman: So obviously he has the background to go forward as your sales leader here?
Robert LoCascio: Yes.
Jon Hickman: And then one last question from me. You quoted right at the beginning of your remarks you said something about the number of visitors that you were tracking over the year. And then I think it was the number of chats that you passed that for the year. Can you just give me that number one more time?
Robert LoCascio: So we monitored 25 billion total visitors in 2014, which generated 300 million chats messages to somewhat mobile, the chat on their mobile. So basically it's 25 billion.
Jon Hickman: So 65% of your revenues are coming from the usage model and 9% are from pay-for-performance, so that's well in this high-70%. So that's the reason why bookings are not really relevant anymore, right?
Daniel Murphy: They're not relevant because they don't account for all the revenue that we have like pay-for-performance and small business. Now, that we have Contact At Once! we'd have to include them in there. And we just thought that it doesn't have real relevance anymore, but it accounted for a large group of our revenues like 90% of our revenues that we give some perspective on our future of what the sales could be, and we just thought it doesn't quite do that anymore and if anything, it becomes more confusing for our investors and our analyst to figure out what's going on. So we figure, we'll just stick with revenue and guidance, which is the easiest thing to do.
Operator: There are no further questions in queue at this time. I'll turn the call back over to the presenters for any closing remarks. End of Q&A
Robert LoCascio: Thank you for being on the call. We'll see you everybody in the next quarter. Thanks everybody.
Operator: Thank you for joining ladies and gentlemen. This now concludes today's conference call. You may disconnect.